Operator: Ladies and gentlemen, thank you for standing by. And welcome to Central Garden & Pet's Second Quarter Fiscal Year 2018 Financial Results Conference Call. My name is Sherry, and I will be your conference operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Steven Zenker, Vice President of Investor Relations, and Communications. Please go ahead.
Steven Zenker: Thank you, Sherry. Good afternoon, everyone. Thank you for joining us. With me on the call today are George Roeth, Central's President and Chief Executive Officer; Niko Lahanas, Chief Financial Officer; Howard Machek, Senior Vice President, Finance and Chief Accounting Officer; J.D. Walker, President, Garden Branded Business; and Rodolfo Spielmann, President, Pet Consumer Products. A press release providing results for our second quarter ended March 31, 2018 is available on our website at www.central.com, and contains the GAAP to non-GAAP reconciliation for the non-GAAP measures discussed on this call. Before I turn the call over to George, I would like to remind you that statements made during this conference call, which are not historical facts including adjusted EPS guidance for 2018, expectations for new product introductions, future acquisitions, and future revenue and profitability as well as the expected impact of the recent tax reform act are forward-looking statements, subject to risks and uncertainties that could cause actual results to differ materially from those implied by forward-looking statements. These risks and others are described in Central’s Securities and Exchange Commission filings including our annual report on Form 10-K filed on November 29, 2017. Central undertakes no obligation to publicly update these forward-looking statements to reflect new information, subsequent events or otherwise. Now, I will turn the call over to our CEO, George Roeth. George?
George Roeth: Thank you, Steve. Good afternoon, everybody. I'm happy to report that our second quarter was a solid one and we're very pleased with our growth trajectory. Most significantly, in the second quarter, we had strong organic revenue growth from both our Garden and Pet segments. Overall, Company revenues rose 8% with organic sales up 6%. Our focus on investing behind and executing against our organic growth as a top priority continues to pay dividends. We have said in the past that we expected our sales and profit growth metrics will be bumpy and we've seen this play out over the past two quarters. Top-line comparisons versus the prior year this quarter were easier than last quarter. Also, acquisitions are expected to continue to add to our overall growth. Although the contribution from acquisitions can vary significantly from quarter-to-quarter, Point [ph] would be our newly acquired Bell Nursery business, which is highly seasonal in nature. So, I guess, what I’m saying is you shouldn’t extrapolate one quarter’s growth over the entire year. It would be best served to focus on what we are saying about our view for the full year. We believe that we had superior organic growth in Q2 because we are clear on our strategies for both our segments and our execution has been strong. Specifically, our garden group continued to drive competitive advantage and execute with excellence with our retail partners. To start the current garden season, we gained distribution including a launch of our new Amdro Quick Kill mosquito line, increased share of our shelf behind existing items, both branded and private label, and secure the promotional display support to position Central for share gains when the season hits the stride. We are sensitive to the fact that POS for the category is running behind a year ago due to poor weather and we are managing spending accordingly. More significantly, we continue to make progress against our long-term strategic efforts to enhance and leverage our lowest cost producer status. For example, in grass seed, we continue to make progress for improving our production efficiencies by bringing more of our seed enhancement process in-house. In short, in Q2, we were pleased with our results against the variables that we control and the sales and profit figures reflect that success. What we can’t control is weather and the timing of the breaking of the garden season across the country. We’ve seen strong consumption when the weather is favorable, which signals the demand is there. We’re told by retailers that we continue to outperform the category. So, we're gaining share and are strengthening our competitive advantage and financial position. How POS plays out for the rest of the year will ultimately determine how much of the gain from Q2 we retain. In the Pet segment, we grew strongly ahead of what we believe what our categories are growing. Our organic strength and e-commerce club and mass including our store within a store concept for pet distribution business within the large grocery chain. We have also leveraged our increased capacity in our dog & cat business, introduced new private label chew products and a new line of products for the pet specialty channel are also growing distribution behind new items for [indiscernible] brand. Similarly, leveraging the new capabilities on small animal bedding, we continue to expand the Kaytee Clean & Cozy line behind new features and are gaining share. In our DMC pet bedding business, we tested a new [indiscernible] branded bed line directly with consumers with very positive response, which we will now expand with key customers. We continue to be focused on upgrading our products and innovating behind new items. We are receiving three innovation awards at the Global Pet Expo, the largest Pet Show in the U.S. Finally, M&A is an important part of our growth strategy and financial algorithm. In the quarter, acquisitions added $9 million in revenue, including a full quarter of K&H and a small contribution from one of our newest purchases of Bell Nursery. Few things about Bell. This acquisition brings us into the live [ph] garden business, an area in which we did not participate before. The category is growing faster than the overall lawn and garden industry and it is the fragmented category where opportunities to grow are plentiful. A leader in the Mid-Atlantic region, Bell is known for its quality products and skilled merchandising force. For Central, adding Bell, gives us a best-in-class plant and flower grower that complements our garden business. We also plan to leverage the business and its formidable merchandising force to help gain synergies with our existing products in store. The other acquisition we announced since our last call is General Pet. This was a strategically important acquisition, as it enables Central Pet distribution to obtain a missing piece of its now large national footprint. The Midwest was an area where we didn’t have facilities and this enables us to offer nationwide solutions to our vendor partners, expand the store-within-a-store concept more easily and even explore the veterinary channel for additional growth opportunities. We have a had strong relationship with the Merar brothers who ran General Pet for a number of years. They and other senior management will be staying with the business. The acquisition closed on April 2nd, so there is no impact from General Pet on our Q2 financial. From an operating income perspective for Q2, both the garden and pet businesses performed as well or better than expected with garden driving the growth as compared to the prior year. We expect pet operating income to be down versus last year, due in part to timing issues and mix. This is consistent with our message that results by quarter could be bumpy and to staying focused on the total year estimates and results. As we have said in the past, we are looking to sustainably grow the Company and drive top line organic growth with an eye towards overall -- increasing overall profit. So, while we think to improve margin over time, we will make trade-off to win market share or support lower margin units to leverage market opportunities. We will also invest in cost savings growth [ph] ahead of the benefit, even if it means it might result in a lower overall margin for the Company or a particular segment for the short term. For example, integrating facilities on businesses can lead to an increase in short-term costs, additionally may also be a lag to the expected savings from the initiative due to working through issues like older, higher value inventory, which we saw on our dog and cat business in the quarter. Another specific example of short-term fluctuations was expansion of our pet distribution business, where one-time expenses have depressed margins in the near-term, but are expected to expand over time. Another specific example is integration and acquisitions. Right now, we are already [ph] in plans to invest in moving part of K&H and DMC businesses to a new facility in Phoenix area. By doing so, we expect to enjoy lower logistics and operating costs going forward, while positioning the business to handle the growth that we expect in the future. Now to be clear, we fully expect margins to continue to expand over time, when looked at on a full year total Company basis. While there are gives and takes, the overall bottom line EPS growth was strong. The Company’s EPS of $0.86 for the quarter increased 28%, aided by higher volumes as well as the lower tax rate due to a change in the federal tax laws and recent changes in accounting standards around non-cash equity compensation expense, as well as the increase in income from the Company’s joint venture investments. The positive impact of these changes more than offset increase in interest expense. Combined with 6% organic growth, we are pleased overall with the quarter and are on track for the fiscal year. Now, I’ll turn it over to Niko, to go over the financials in more detail. 
Niko Lahanas: Thank you, George. Good afternoon, everyone. We issued our second quarter press release with our financial results earlier today. I’ll now go [ph] into some of the details and give you some color on what transpired during the quarter. Central's earnings per share was $0.86 for our second quarter, up 28% from $0.67 over the same period a year ago. Our second quarter sales rose 8% versus the prior year to $613 million with organic growth of 6% being the primary driver. Whilst Garden had relatively easy top-line comparisons versus the prior year, I should point out that much like the statements we made on our last call when we said first quarter organic sales growth was not indicative of the entire year, neither is the 8% growth of this quarter indicative of what we expect in the second half of the year. Comparisons are bit more challenging for organic growth going into quarters 3 and 4. Of course our total revenue growth will benefit in the second half due to the inclusion of our two newest acquisitions, Bell Nursery and General Pet. Consolidated gross profit rose $11 million and our gross margin decreased 50 basis points to 31.7%, impacted by a number of factors including mix in our Pet segment, timing and higher material and transportation costs. SG&A expense for the quarter increased 8% or $9 million versus a year ago and as a percent of sales was flat at 21%. Company operating income for the quarter increased 3% to $66 million. Operating margin declined 50 basis points to 10.7% due to the lower gross margin. Turning now to the Pet segment. Pet segment sales for the quarter increased 8% or $23 million to $322 million with organic sales rising 6%. The increase was driven by organic growth in a number of different businesses offset to some degree by lower sales in our animal health business. The weakness in this business was principally timing related in part due to unfavorable weather which impacted our fly and mosquito control businesses. This mix change had an unfavorable impact on Pet's operating income and margins, as these higher margin areas had less volumes. To offset fixed costs and the mix of business during the quarter, shifted more towards wild bird feed, aquatics and the sales of other manufacturers' products. These areas typically carry a lower margin in our animal health business. So in total, Pet segment operating income for the quarter decreased by $2 million or 5% compared to the prior year to $33 million. Pet operating margin decreased 140 basis points to 10.2%. In addition to the mix issues and lower volumes in the animal health business, expenses related to our continued rollout of our Pet store-within-a-store concept at one large customer as well as higher material and transportation costs were also dragged on margin. Turning now to Garden. For the quarter, Garden segment sales increased 7% or $20 million to $291 million with organic growth of 6% and was driven by the strong sell into season that George mentioned earlier. Most major garden categories experienced growth with several up double digits. Garden's operating income rose to $51 million from $46 million in the second quarter of last year and operating margin increased 50 basis points to 17.4%, in large part in cost reduction initiatives which more than offset higher raw material costs. Mix was a positive factor for Garden margin as the company sold a higher percentage of products that produced versus sales of other manufacturers' products compared to a year ago. One other thing to mention is that Bell had a negative impact on operating profit and margin for the second quarter but is expected to have a meaningful positive impact on Garden's third quarter revenue and profitability. Moving back to our consolidated results. In the second quarter, we had other income of $2 million compared to expense of $1 million a year ago. The change is principally due to the seasonal nature of our largest investment, which typically has its highest earnings in our second fiscal quarter. As of the end of fiscal Q2, we lapped the date that we acquired a stake in this company. Net interest expense increased $3 million to $10 million primarily due to incremental interest expense on our new notes that we issued in December of 2017. Our tax rate for the quarter was 20.3% as compared to 37.1% in the second quarter a year ago. The decrease includes a reduction in the federal tax rate and the favorable impact from the changes in a recent accounting standard around non -cash equity compensation expense. The impact of the latter is likely to vary quarter-to-quarter depending on among other things the market price of our stock and employee option exercise activity. Turning to our balance sheet and cash flow statements. Cash at the end of the second quarter was $132 million, up from $6 million at the end of the second quarter last year. The increase reflects the inclusion of the proceeds of the debt offering we closed in December of last year, partially offset by our Bell Nursery acquisition at the end of the quarter. Keep in mind that seasonally this is typically the peak of cash needs for inventory buildup for the garden season. Total debt was $691 million versus $496 million last year, up due to the December 2017 debt offering. Our leverage ratio at the end of the quarter was 3.2 times compared to 2.5 times a year ago, well within our target range. We also have $354 million of availability on our credit line at the end of the quarter. For the quarter, cash flow used by operations was $70 million, down from $83 million in the second quarter a year ago. CapEx was $9 million versus $14 million in the second quarter of 2017. The decrease is really timing versus a year ago and we expect CapEx activity to pick up in the second half of the year and it's expected to total $40 million to $45 million for the year. Depreciation and amortization for the quarter was $11 million, up from $10 million a year ago, primarily due to recent acquisitions. During the quarter we did not be purchased any of our outstanding stock and approximately $35 million remains available under the Board approved stock repurchase program. Now, I'll turn it back over to George.
George Roeth: Thank you, Niko. Looking at all the factors including the additions of Bell and General Pet, we are changing our adjusted EPS guidance for the year, raising it to a $1.90 or higher $0.05 from the previous estimate of $1.85. It should be noted that the guidance reflects the inclusion of our new Bell acquisition around its peak earnings period without containing almost two full [ph] quarters when the business typically incurs a loss. It also reflects uncertainty around how the late start to the spring season will ultimately affect our garden and animal health businesses. So, while we can't control weather, we can control how we execute our plan to grow revenues and market share over time. We feel good about the successes that we've achieved in getting on shelf and our plans to promote our promise to drive consumer takeaway. As POS hopefully catches up in the upcoming weeks, we remain confident in our ability to continue to drive sustainable growth across the entire Company. Now, let's open up the lines to questions. 
Operator: Thank you. [Operator instructions] Our first question is from Bill Chappell with SunTrust Robinson Humphrey. Please proceed.
Bill Chappell: A couple of questions, just trying to understand the guidance and how weather plays into that. And just -- had the weather been normal? Would the numbers be even higher or in terms of looking at the guidance, are you assuming that it comes back in as a normal season in terms of the outlook for the rest of the year? Just trying to understand how much do you think was an unusual past three months for what we’ve seen from Scotts and from Spectrum and others. I am just trying to understand what impact it did actually have on your numbers?
George Roeth: Bill, I am not going to break it down by pieces. I will speak in general. We manage for risk across a number of variables, the garden season being one part of it. So, as we think about out guidance, we think about scenarios of what could go right, what could go wrong? As you know, we tend to be conservative and I would say that’s one factor that we consider among a number of factors.
Bill Chappell: Okay. So -- but there could be further upside, if it normalizes I guess over the next month, month and a half?
George Roeth: I am not going to jump in on that. Sorry.
Bill Chappell: Okay. How about switching to the other products on the pet side? Should we look at this quarter as kind of a full realization of the grocery chain initiative in terms of being category manager there and is that a nice run rate for the going forward or is there still more to come in as we kind of head to the full ramp in the second quarter -- I am sorry in that fiscal third quarter?
Rodolfo Spielmann: Hi, Bill. This is Rodolfo. I will take that one. We still have at least three quarters to go on that one. While we are finalizing the work to integrate that that customer with a store-within-a-store concept, then we need to lapse that growth year-over-year. So, you will see us mentioning that for at least three more quarters.
Bill Chappell: And then, last one from me. Just in terms of the -- you talked about CapEx being more back-end loaded. Did we see meaningful benefits from some of the CapEx last year in terms of margins or is that also kind of some of the synergies margin improvement from some of last year and the important acquisition, is that still to come. I guess in particular, I thought this is the year we should see some pretty meaningful synergies for the Segrest. I don’t know if [indiscernible] tell whether we saw that this quarter, whether that’s still to comp.
George Roeth: Well Segrest acquisition, I thought you are asking about CapEx, but if I’m thinking CapEx, if you look at…
Bill Chappell: Well…
George Roeth: Well, let me summarize specific CapEx for a second. If you look at fiscal year-to-date, our margins are up. We believe our low cost producer activities are generating benefits. Some of those low cost producer activities, as I said, some of the benefits are delayed as we work through older inventory for example. So, it’s going to be bumpy but we would expect margins to expand over time driven by our low cost producer activities.
Niko Lahanas: The other thing that CapEx allowed us to do was increased capacity. So a lot of the growth we are having right now on dog and cats is due to the CapEx and the ability to take on more volume.
Bill Chappell: Got it. And you said CapEx should be still up this year versus last year?
George Roeth: Yes. It’s going to be in that $40 million to $45 million range. And I think last year, we were above $45 million. 
Bill Chappell: Last one for me, you might have said this but effective tax rate for the full year now?
Howard Machek: This is Howard. The effective tax rate that we are expecting is about 27% before we start building discrete items. Remember that we have the revaluation of our deferreds and we have the impact of the adoption of the stock compensation. So, with those probably all in, we're looking at something closer to 11%, probably in that range.
Bill Chappell: Got it. Thanks so much.
Operator: Our next question is from Brian Nagel with Oppenheimer. Please proceed. 
Brian Nagel: Hi. Good afternoon. Thanks for taking my questions. So, the questions I had, maybe just further clarification on the gross margin in the pet category in the quarter. So, you discussed it in your prepared comments. But, my question is how much if you look at that the decline which has been rare on any historical analysis of your numbers. How much was that onetime in nature isolated to the current quarter versus what we should expect to see maybe in coming quarters?
Rodolfo Spielmann: Hey, Brian, this is Rodolfo. We expected the margin in Pet to be down year-over-year on this quarter. And in fact we did a bit better than our plan. As George mentioned before, this is absolutely not indicative of the year. By far the largest driver for us was mix among the units and not margin. Let me give you a few clear examples on that. Pet distribution which is as a normal distribution business will carry lower margins on line [ph], deliver strong growth behind the store-within-a-store concept we mentioned on the last call. And while very accretive to pet distribution, it does affect mix negatively in the whole. We also mentioned, our animal health business that got affected by the late arrival of the summer affecting the mosquito and also the timing of the season. [Ph] We also mentioned about our timing issue [ph] which creates absolutely no challenge for the year. So all-in-all as I mentioned, vast majority was mix that was expected.
Brian Nagel: My second question I had just with regards to the savings and the now lower tax rate. How should we think about what Central is doing with that savings, will redistribution fall into bottom line, potential share buybacks that type of thing?
George Roeth: Well, the way we're thinking about deploying our capital is first and foremost against our core business to drive organic growth and then M&A. And we think those are the ways we are going to spend the capital going forward. So, I wouldn't be looking for any share buybacks in the near-term. Number two, the way I would think about how we're going to invest our money is we are looking spending into core business, opportunities to do that versus necessarily taking all the bottom line. We also may invest back in our employees. Those are two areas that we're looking hard and fast, and we have to save money to invest back in the business and our people as part of our forecast going forward.
Operator: Our next question is from David Westenberg with C.L. King and Associates. Please proceed. 
David Westenberg: Hi. Thanks for taking the question. So, Amazon announced they're doing store brand in dog food. And I know dog food is a small portion of your business, but can you talk about the potential impact across the online channel of Amazon doing this? And then, can you talk about some of the relationships that you have with online retailers, generally in pet products maybe outside of pet food?
Rodolfo Spielmann: Okay. Sorry, this is Rodolfo again, taking that one. We won’t comment specifically on any customer, and as you mentioned, pet food is pretty small for us. Having said that, now taking the more relevant question about the shift to e-commerce on how has that impacted the business. We want to be where the consumer wants to make the purchase and we are absolutely agnostic on which channel they are at. We have started to invest in e-commerce over a year ago, and our growth is very strong and ahead of the categories in which we compete with. Having said that, we’re still supporting and this is important business. We support all the channels where the consumers choose to buy. That means we are growing clubs, we’re growing mass, we’re growing e-commerce, and we’re supporting the pet specialty customers for to start driving growth, bring some traffic to the stores. So, all in all, as I said, we’ll follow the consumers wherever they go, and we’re right on that.
David Westenberg: Got it. Well, can I ask maybe a follow-up to that then? Can you talk about just on the online channel, if you see more opportunity in the near-term in brand or on the distributed product side? 
Rodolfo Spielmann: Yes. We’ll be looking both, to be very honest. So, we’re seeing strong growth in our branded business, across all the categories where compete. And same with brick and motor, growth in private label does not mean that the growth in the branded will diminish. So, we actually [indiscernible]. And we are planning to participate in both.
George Roeth: Yes, I’ll just kind of speak for the whole company. If you think about private label, we like to continue private label where we have a low cost producer and have excess capacity, consumer purchase behavior is the tailwind for private label. That’s clearly not the major leader in most categories, but it is growing faster than branded business and we’re going to participate there. 
David Westenberg: Got it. Thank you. And then, can you talk about what you're seeing in terms of acquisition multiples across the space. I'm actually thinking more on the pet side? And just with the two acquisitions in the quarter, I know they weren't huge in terms of the amount you borrowed, but does it impact kind of what you're looking at on the acquisition side? Thank you.
George Roeth: So, as far as acquisitions, I mean, we're, we're looking across both segments. We still love both segments, both pet and garden, Bell obviously being in the garden segment. What you'll see is there's just more fragmentation over on the pet side. So, you've got more companies, more buyers, more sellers, so there's more activity there. It has a little better tailwind. But the garden side is still very attracting to us, in particular if you look at how well our garden business is executing, the management team there is top notch and we want to support and augment that. So, we like those segments. Multiples as far as they go, they continue to be all over the map. It all depends on what type of situation you're in, whether it's an auction, whether you know you have an exclusivity there, small, large, depends on the size, the growth, the margin profile. So, they're all over the map. We continue to be value buyers of growth businesses. I mean if I were to characterize us, we are value buyers of growth businesses.
Operator: Our next question is from Jim Chartier with Monness, Crespi, and Hardt. Please proceed.
Jim Chartier: I wonder if you could give us some ballpark size for the Bell Nursery acquisition and then the General Pet distributor as well in terms of revenues.
George Roeth: I can tell you what we paid for Bell which we’ve disclosed is $52 million. We have not given out the size of the business on General Pet or Bell nor do we typically for our standalone businesses. I will tell you they’re in the sweet spot of the $50 million to $100 million that we’ve typically been buying.
Jim Chartier: Great, thanks. And then, any acquisition -- one-time-ish acquisition cost in second quarter that we should be aware of related to those deals?
George Roeth: Yes. There were some one-timers with respect to Bell. There’s always one-time costs around legal and travel and things like that but there was a fee involved with Bell.
Jim Chartier: Okay. And then, on the K&H DMC transition to Phoenix, when does that project start? And then, how big is that project relative to the consolidation that you did in New Jersey?
Rodolfo Spielmann: Okay. The process [ph] is already stated with K&H. We have signed the leases in Phoenix, and we’re moving and preparing the facilities. Size wise, the business is smaller than dog and cat, obviously the project will be smaller than the dog and cat one. And how long will it take, we’re setting with K&H then following with DMC, I would assume that this is roughly within three and four quarters.
Jim Chartier: And then on the New Jersey consolidation, have you started to see leverage and improving margins from that consolidation?
George Roeth: I’d say a couple of things on that front. First and foremost, we now have the capacity to produce the demand and chase the business and you are seeing that business grow quite nicely. We are seeing improvements in what I’ll call apples-to-apples making the same item lower operating cost. However, as I noted in my introductory comments, in some cases, we are working through inventories and you are not seeing that flow through completely with P&L yet. 
Jim Chartier: Will we start to see the lower cost inventories next quarter?
George Roeth: I’d have to go back and check on that. So, I would say, I can’t give you the prices date. 
Jim Chartier: And then, in the press release, it said part of the lower pet margin was related to higher costs in anticipation of higher volumes for the store and store rollout for pet distribution. So, kind of related back to earlier question, should we see that business ramp even more, and so the distribution, sales for pet should actually accelerate over the next couple of quarters as that is rolled out to more and more stores?
George Roeth: I think, we’ve also sold that the rollout will continue over the next three quarters. And as we speak and we have already spent some of this but we’ll continue to put in the facilities in place to make sure that that’s possible.
Operator: Our next question is from William Reuter, Bank of America Merrill Lynch. Please proceed.
William Reuter: Hi. I hopped on a little late, so I hope I didn’t miss this. But, previously, you’ve been talking about trying to reduce costs by about 2% annually. I guess, in light of what we’ve been seeing with inflation of raw materials and freight, can you talk about where we are? And I assume we’re probably going to see a headwind this year, what type of headwind we might see for those items?
George Roeth: So, the way I would say it is we do target 1 to 2%, really more like 2% controllable cost reductions I would say we’re on track to do that. When we talk about cost reductions, we talk about it in three buckets. One bucket is [indiscernible] pricing that our competition is not going to take; second bucket is to invest in growth of the business; and the third bucket is to make sure we're improving our margins and our margins are growing over time. Obviously with headwinds, that makes that more challenging as a lot more of cost savings need to go against making sure that you're covering your covering your commodity cost, I think with regard to who benefitted from their low cost producer efforts and hence we're able to still grow margins in the quarter. Obviously Pet has some mix challenges and also has some challenges as well. I would say that we're probably going to have to take some pricing and actually have taken some pricing in some selected cases and cannot rely strictly on cost savings to make sure there are margins to stand over time.
William Reuter: I guess, the cost savings that you expect to take or that those which you were just referring to, will they be announced to offset the input cost increases that you've been seeing over the last period of time?
George Roeth: As I said, we want to do three things. Expand our margins, invest in growing our businesses and not take all the pricing as we potentially would have take -- we have our cost savings, we have now but this year we probably aren’t going to pass to take pricing on top of the cost savings in order to meet that goal. And we've already taking some pricing in our regular process of taking additional rates. 
William Reuter: Okay. And then, in terms of your customers, can you talk about what you're seeing in terms of the growth of e-commerce versus brick and mortar?
George Roeth: I would just say, in general, e-commerce is growing faster than brick and mortar, particularly if you look at the pet side of the business. The pet specialty channels have been declining and their declines have accelerated versus prior years, although are kind of stabilizing at a rate of decline now. The e-commerce is clearly broad based on both the garden and pet side. Although in the garden business e-commerce is fairly de minimis at this point in time. 
William Reuter: Okay. And then, just lastly, if I missed this, I apologize. But did you -- obviously your Garden sales were pretty strong, particularly given the late start to the season. Did you give an estimation of what the dollar amount sales that may have been pushed back to later in the season or any sort of a weather quantification?
J.D. Walker: William, this is J.D., I'll speak to that. First of all, great question because it's Garden related and I finally get chance to speak. So, the season has been delayed. Typically Q3 and 4 would represent about 60% of our consumption, our POS for the year. This year, I expect that number to grow because it has been a delayed season. I think that's been widely reported, but from the middle of March through the end of April that 6-week period the weather was just not conducive. It was unfavorable weather across all markets. Every retailers reported that to us as well as other people in our same space that have reported publically. We experienced the same thing. The good thing is that we've seen over the last couple of weeks we've seen an uptick and consumption has picked up significantly. So, we feel much better. Few weeks ago we would have been probably a little more concerned. We're much more cautiously optimistic right now about the rest of the year. 
Operator: [Operator Instructions] Our next question is from Hale Holden Hale Holden with Barclays. Please proceed. 
Hale Holden: Thank you for taking the call. I just had two questions. There is a lot of overbuilds question on Garden season pickup. We've seen some of the mass channels move seasonal assortments faster than they would have in the past if the sales aren’t there. Is there any risk that the garden season gets truncated by some of your customers, or is it just sort of an extension out in time?
J.D. Walker: From what we're hearing from the trade right now and it's a concern of ours as well. We want to make sure that they're staying in the game. They are committed -- what they're telling us, they are committed to staying in the game, particularly the big box stores. So, we haven't seen any kneejerk reaction to a slow start. And I believe all of them have expressed confidence that the season is still in front of us. So, if weather remains conducive, meaning if it doesn't get too hot too quickly in the summer months, we could have an extended season.
Hale Holden: Got it. And then in the opening script, you alluded to a new private label push in pet specialty. I was wondering if you just give us a little bit more color on what that was or a sense of the size or even what the product was.
George Roeth: Yes, I can’t. That's confidential information and what customer is working with specific items. I'll just say we’re as interested in private label on the pet side as we are on the garden side. We have reasonable sized businesses on both sides of the shop. And again, we're a low cost producer and we have excess capacity and our customers are working with us. We're continuing to make private label items on both sides.
Operator: Our next question is from Bill Baker with GARP Research. Please proceed.
Bill Baker: Hi. Thanks. I have one small question, one bigger question. I guess, the bigger question is, it's interesting to hear you talk about how weather had affected the mosquito and tick business downwards. And I'm aware that the tick business is more of a Mid-Atlantic, Northeastern sort of thing. And so then, when you sort of jump over to the garden side, you do sell a lot of grass seed and that sort of stuff in that region, and it performed relatively well. And I'm wondering, so, just maybe I’ll just draw last sort of thought. Just this last weekend I decided I was going to go out and buy a couple of 40 [ph] bags of your patch product, and I went to Walmart and they are sold out. There is nothing there. I go to Lowe’s and there's stacks and stacks of Scotts as there was at Walmart and there is an empty bin for you guys with one broken bag that I got a 50% discount on and somebody had thrown a Scotts seed bag in there. And I am thinking either you have an incompetent manager in the Mid-Atlantic area or you can’t sell in enough to meet demand and you're gaining market share or maybe it just doesn't signify anything at all? Maybe it's just some sort of regional discrepancy. How am I to think about that garden business? And you talked about point of sale and maybe how the next quarter could be better. I didn't see any point of sale displays. I'd like to know -- at any of those stores, I'd like to know kind of like you know -- it looks to me like you’re probably getting a lot of demand, but you’re having trouble satisfying it, at least in my region.
George Roeth: So Bill, you gave me a lot material to work with.
Bill Baker: I am sorry. I went on and on. 
George Roeth: No, no, it’s okay. It’s all right. 
Bill Baker: Very anecdotal, very anecdotal and little localized stuff that probably reflects the national situation.
George Roeth: Well, thank you for, first of all, being a consumer of our products. We think we appreciate that. I’d say that what you’re experiencing and they more rapid sell-through of one brand than another is what we're seeing in the market share as well. That's indicative of market share. Off-shelf locations is disappointing to be, because I’d like to think that, I know that coming into this year we had our strongest support ever in terms of promotions and off-shelf displays from our key retailers. But we are seeing high demand, there’s no doubt about it, on any given weekend, and there’s pent-up demand. So, when you have a period of time when the weather has been poor as we’ve had, and then the weather breaks in markets, you are going to have incredible pent up demand, that’s what we have seen and it’s difficult to have enough holding power in any one store to satisfy all customers. Having said that, we are constantly working with retailers to gain additional locations to rapid sell-through is going to show through in their computer reports, which when we do replenishment orders for us, more secondary locations for us. But, I think what you are seeing on a very limited basis is what we are seeing across the country, not sell through, a complete sell through of inventory but rapid sell through of our products.
Bill Baker: Yes. I concluded it was a positive but I would like to see closer ties to the stores and point of sale and all of that. So, it looks very positive and it looks good to me for 3Q. So, yes…
George Roeth: I was just going to add to that, when you have just across some of the bigger stores, thousands of stores, I would think that that’s not indicative of the -- just not pervasive across the entire chain…
Bill Baker: Yes. I agree. I visited other stores in the past and they looked completely different from my local area. The minor question and if I can just follow up, the garden distribution business was down. Do you have any comments about that?
George Roeth: Yes. Some of that is timing. The garden distribution business for us over the last few years has grown very rapidly. We knew we had a pretty strong comp against the garden distribution business from the same quarter prior year. It was all slightly, I expect this next quarter to close ground on that. So, garden distribution without facing our branded business we’re pleased with really the mix right now with our branded business strengthening and the garden distribution business kind of leveling off a bit.
Operator: [Operator Instructions] Our next question is from Carla Casella with JP Morgan. Please proceed.
Carla Casella: The roll out that you are doing with the pet, one major retailer on the pet side, did you say where you are in the process at what stage and how long that would be until you fully roll out?
Rodolfo Spielmann: So, the way it works, we have been working with this retailer for several years, so we had our percentage of the store. Then, we go region by region, taking more store [indiscernible]. In Q3, we will finish most of the big regions, then it would be truly minor. So, as you can see this going forward, you will have another big effect in Q3 under this effect in the rest of the year.
Carla Casella: And then, on the pet specialty side, what percentage of your pet total sales is going into that pet specialty channel now and how do you see that transitioning over time?
Rodolfo Spielmann: We don’t give the percentages breakdown. What I can tell you is that our exposure is significantly lower today than it was two years ago, mainly because of our strong growth in the class, mass and e-commerce business. Having said that, we still believe specialty will be critical for the health of our category. And we have shown with our acquisitions and our innovations how committed we are driving that down. 
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to George for closing remarks.
George Roeth: I just want to thank everybody for attending the call. And have a great day.